Operator: Welcome to the Half Year 2025 Results Conference Call of Groupe ADP. [Operator Instructions] Now I will hand the conference over to Cecile Combeau, Head of Investor Relations, to begin today's conference. Please go ahead.
Cecile Combeau: Good morning, everyone, and thank you for joining our call this morning. I'm here with Philippe Pascal, Chairman and CEO; and Christelle Robillard, CFO, who will go through some prepared remarks before the Q&A session. And before we start, and as usual, I remind you that certain information to be discussed on today's call is forward-looking and is subject to risks and uncertainties that could cause actual results to differ materially. And for this, I refer you to the disclaimer statement included in our press release and on Slide 41 of our results presentation. I will now leave the floor to our Chairman and CEO, Philippe Pascal.
Philippe Pascal: Thank you, Cecile, and good morning, ladies and gentlemen. Thank you for joining us to discuss our half year results 2025. Let me now turn to Slide 3, the key highlights of the first half. You can see on the left, our key figures for the first half of 2025. Revenue rose by nearly 10% to EUR 3.2 billion. Recurring EBITDA passed the EUR 1 billion mark, up 8.7%. Net debt to recurring EBITDA ratio is now down to 4x. This solid operational performance confirms the strength of our model despite a challenging context. Traffic remains on track, up 4.5% in Paris and up 3.9% at TAV Airport. Extime Paris spend per pax, it's up 7.7% compared to 2023, consistent with our full year guidance. Strategically, we made decisive progress regarding our industrial project in Paris, particularly in Paris Charles de Gaulle. About long-term development plan in Charles de Gaulle, we completed the voluntary public consultation. And we also launched the Connect France partnership with Air France with aim to reinforce CDG's position as a global hub. Looking ahead, we are fully confirming our 2025 outlook. As communicated at the beginning of the month, net income has been affected by the accounting impact of a normally high FX variation and by the temporary increase in taxation in France. Against this backdrop, the Board of Directors has decided to adjust the distribution policy subject to the approval of the general meeting. With the reintroduction of EUR 3 per share dividend floor, while the 60% payout ratio is confirmed. Lastly, we are preparing the next regulatory cycle. Our proposal for the upcoming Economic Regulation Agreement will be submitted before the end of the year. This will be a decisive step in securing long-term value creation and further strengthening the group's positioning as a global infrastructure leader. On Slide 4, a few words about our voluntary consultation held between April and July. This initiative marks an important step in preparing the long-term transformation in Paris Charles de Gaulle. This plan is built around 5 pillars, including multimodality, modular development and low-carbon energies. We make a strong work in terms of consultation, public consultation with over 2,000 direct participants alongside more than 6,000 contribution and around 100 formal stakeholder submission. The conclusion of this dialogue will be presented in October and will help inform our next investment plan as part of the upcoming Economic Regulatory Agreement, ensuring that our long-term development is both share and sustainable. Let's turn to Slide 5, focus on our new partnership with Air France. Connect France is a joint initiative between Groupe ADP and Air France, aimed at reinforcing Paris Charles de Gaulle's position in a more and more competitive global landscape. We are facing growth pressure from non-European hubs, which often benefit from favorable tax and regulatory environment. And in response, we are taking decisive action to keep Paris Charles de Gaulle ahead by accelerating innovation, enhancing quality of service and advancing decarbonization effort. This collaboration is key to preserving France connectivity, global standing and strategic autonomy. Now let's move on to Slide 6. This strategic plan with Air France brings together a set of concrete operational passenger-focused action with 10 joint initiatives. Let me share 3 numbers. First one. As part of the redevelopment plan Paris Charles de Gaulle through 2035 and beyond, we are establishing joint project teams with Air France to clarify and define their functional requirement together. Second, we are improving the connecting journey, smoother transfer, better [ signalization ] and a unique Parisian touch in every experience. And third, we'll collaborate in the domain of sustainable aviation to accelerate its deployment. This action shows our shared commitment to build a strong and more sustainable hub. Moving on to Slide 7. Revenue grew by nearly 10%, reaching EUR 3.2 billion, a solid performance, especially in the context marked by geopolitical and macroeconomic volatility. Recurring EBITDA came in at EUR 1 billion, up 8.7%, reflecting strong operational delivery across all business segments. Net income stands at EUR 97 million. As previously disclosed in our 1st July release, net income is significantly impacted by some noncash FX effects amounting to EUR 104 million and by the accounting of the income tax surplus in France. Christelle will now walk you through our financial results, including more detail on the bottom line. Christelle, over to you.
Christelle de Robillard: Thank you, Philippe, and good morning, everyone. Let's jump to Slide 9. Traffic in the first half evolved broadly in line with our assumptions, despite a less favorable context in some geographies. At Paris Aeroport, traffic increased by 4.5% compared to the first half of 2024. This growth was primarily driven by international routes when domestic traffic continued as expected its structural decline. Traffic with North America remained solid, up 3% and reaching nearly 110% of 2019 levels. Traffic with Africa is up 7.1%, well above 2019 levels. Traffic with Asia Pacific routes continued its recovery, increasing by 9.7% and exceeding 91% of pre-COVID levels. At group level, total traffic grew by 5.1%, among which TAV Airport grew by 3.9%, supported by strong momentum in its international assets, up nearly 10%, while traffic in Turkish airports evolved at a more moderate pace. GMR Airport posted traffic growth of 6.5%, with a less favorable context in both May and June, marked by flight restrictions linked to regional geopolitical tensions and the repercussions of Air India crash. Finally, Amman Airport is up 6% in the first half, thanks to a strong recovery trend until June, impacted by regional instability. Let me now turn to Slide 10 to retail performance. Sales per pax reached EUR 31.9 in the first half, up 7.7% compared to 2023, in line with our guidance and up 0.5% compared to last year. The first half continued to show good performance in beauty and cosmetics as well as in food and beverage. But we saw a slowdown in luxury, especially from Q2 due to the appreciation of Euro against foreign currencies, in particular, U.S. and Chinese currencies. At the same time, we had internal headwinds with the intensification of the works in retail areas in Terminal 2E Hall K as well as some adverse base effect with notably strong advertising and travel retail numbers in 2024, driven by the Olympics and the adverse base effect created by reopening of Terminal 2E and 2C in June 2024. In all, we are not seeing any trends diverging from our outlook for 2025, which is confirmed. We are expecting spend per pax within a range of EUR 31.8 to EUR 32.4 in 2025, that is 4% to 6% higher than in 2023. Moving on to Slide 11. Revenue reached EUR 3.2 billion in the first half of 2025, up 9.6% compared to the first half of 2024. In Paris, Aviation segment posted around 8% growth, reflecting the combination of traffic growth and increasing tariffs. Retail and Services segment rose by around 13%, driven by the increase in spend per and the scope impact from P/S and PEG acquisition in 2024. Real Estate remains up, thanks to rent indexation. Internationally, growth was also strong. TAV Airport delivered a significant contribution to the group's revenue growth, thanks notably to its service companies. AIG showed revenue growth of around 12%, supported by strong traffic recovery at Amman and geopolitical escalation in June. Let's now turn to Slide 12. OpEx increased by 8.7% in the first half of 2025, reflecting a number of well-identified trends. First, the rise in external services cost from continued efforts to enhance quality of service and the impact of contracts renegotiated in 2024 despite a favorable comparison base linked to Olympic-related costs recorded last year. Second, a continued increase in staff costs, notably at TAV Airports, driven by activity growth and inflation in Turkey. Third, we have a scope impact with the integration of P/S and PEG. Lastly, an unfavorable base effect from property tax rebates recorded in the first half of 2024. Moreover, other incomes and expenses were down, notably due to the adverse base effect corresponding to the EUR 13 million Olympics-related provision reversal recorded last year as well as lower levels of reinventing following the delivery of projects linked to the CDG Express. Despite this expected cost increases, recurring EBITDA grew by 8.7%, reaching above EUR 1 billion compared to EUR 943 million in the first half of 2024. No major one-off items is impacting EBITDA this half year. Let me now turn to Slide 13, which explains the evolution of our net income down to EUR 97 million in the first half of 2025. As anticipated, the decline compared to first half 2024 is mainly driven by nonoperational items with 3 key factors to keep in mind. First, the increase in D&A, which mainly reflects the base effect from the impairment reversal recorded last year at AIG for EUR 152 million. Second, as communicated at the beginning of the month, the noncash FX impact affecting several lines of our P&L. The share of income from associates, the financial results and the income tax for a net total of EUR 104 million at net income level. Third, the recognition of the exceptional surplus corporate tax in France, totaling EUR 64 million in the first half as the portion of this surplus tax relating to fiscal year 2024 was fully booked this semester. Slide 14 gives a view of the net income, excluding one-off effects. Adjusted for one-offs, mainly the EUR 64 million impact from the exceptional corporate tax, net income stands at EUR 171 million, a drop of 41.2% year-on-year. Let's now turn to Slide 15. As of June end, net debt stands at EUR 8.7 billion. Hence, the net debt to recurring EBITDA ratio of 4x, improving slightly from 4.1x at 2024 end. This improvement is mainly driven by the increase in EBITDA over the first half of the year. We also undertook targeted liability management actions, including a EUR 1 billion bond issuance in March, a bond repayment of EUR 500 million and EUR 250 million buyback of existing instruments. We also received the proceeds from the partial purchase by GMR enterprises of the FCCBs issued by ADP and held by GMR Airports for EUR 20 million of principal plus interest. With that, I will now hand it back to Philippe, who will now comment on our outlook and our strategic priorities.
Philippe Pascal: Thank you, Christelle. Let me now turn to the outlook on Slide 17. Based on our solid operational performance and as previously announced on 3rd July, all our 2025 financial targets are fully confirmed. In addition, the Board has decided to adjust the dividend policy by introducing a minimum dividend of EUR 3 per share. While the 60% payout ratio remain in place, the reintroduction of this floor offers shareholders subject to their approval at the general meeting, a minimum return, helping to limit the risk of downward volatility in dividends among sharp currency fluctuation. The 2026 target will be defined as part of the upcoming Economic Regulation Agreement and are expected to be communicated alongside the full year 2025 result in February 2026. Turning to Slide 18. To conclude this presentation, I would like to say a few words about the next Economic Regulation Agreement, a key milestone for Groupe ADP long-term trajectory. As you know, the Economic Regulation Agreement is a framework agreement between Groupe ADP and the French state under the oversight of the transport regulator, ART. The regulator plays a central role in this process. It is expected to first issue a nonbinding opinion on our project contract, which will help frame the discussion with the state. After such negotiation, the final signature by the state is only possible once the regulator has issued its binding opinion and favorable binding opinion. The Economic Regulation Agreement typically covers a multiyear period up to 10 years depending on the industrial project and defines the annual tariff adjustment capacity. Its smart parameters are based on a business case prepared by ADP, including traffic forecast. They cover the expecting duration, binding investment plan, a performance plan and quality of service targets that can trigger tariff cap incentive or penalty. The return on capital is fixed and capped, providing predictable and balanced regulatory framework. Once implemented, the Economic Regulation Agreement includes safeguards to preserve economic balance over time and can be terminated in the event of force majeure. In short, the Economic Regulation Agreement brings long-term visibility to our investment and tariff path while ensuring a fair balance between all stakeholders. In terms of time line, we aim to submit our Economic Regulation Agreement proposal by the end of 2025 in December. The regulator's first nonbinding opinion will be expected in Q1 2026 triggering formal negotiations with the state. The binding opinion is expecting by year end 2026, paving the way for the new Economic Regulation Agreement to come into effect in 2027. I will stop there for now, and we will open the line for the Q&A. Thank you.
Operator: [Operator Instructions] Next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: The first 1 is on the regulated return for this year. I think last year, you achieved 4%. The regulated WACC is within 4.1%, 4.8%. Could you give us a ballpark expectation? Do you think you're going to be at the higher end or lower end of the WACC? And maybe just to clarify, this includes the excess corporate tax rate. So it would be higher if the tax rate would go back to normal. So if I could kindly ask you to clarify that. Secondly, I know you've made progress through the consultation in terms of the CapEx going forward and it's still early stage. But any chance you could give us a bit of a steer there? Is there anything like a maximum CapEx that -- per year that could be done in Paris? I assume there is a limit on how much you could invest in 1 given year. But any preliminary conclusion at this stage that you can help us with. And the last one, if you allow me, the 60% dividend payout ratio, is that stepping stone indifferent of the CapEx plan in Paris, indifferent of the size of the CapEx and in Paris? I'm referring midterm, sorry, the 60% payout starting 2027 onwards. If you could comment, please.
Philippe Pascal: Thank you for your questions. So for your first question about regulation. So for the moment, we don't disclose our regulated ROCE and our strategy for that. And as you know, we have -- in fact, we have a range from the French regulator in terms of WACC. But we expect for the next period, if we have an Economic Regulation Agreement, different way to appreciate the level of WACC from the regulator due to the fact that in the guideline of the French regulator, we have the capacity to have an upside when we have an Economic Regulation Agreement. For the moment, clearly, we want to have a pure convergence between the regulated WACC at -- the regulated ROCE and our WACC that is our target for the next Economic Regulation Agreement. In terms of CapEx program, as you know, we disclosed our long-term strategic plan in terms of infrastructure for Orly, but also for CDG. We know that we have probably higher CapEx in the next period. But for the moment, we don't disclose the sequence and our trajectory in terms of CapEx due to the fact that we have also to discuss with all the airlines to know exactly when we manage, what is the way we manage our plan, industrial planning in Paris. So clearly, we -- when -- if we have to increase our CapEx at the same time, we have to obtain a good remuneration and to -- in line with our expectation in terms of cost of capital. So when we try to do it to have a manageable CapEx plan, modularity in terms of industrial objects that is key for us, but it's a little bit early to speak about that. In terms of dividend, 60% payout ratio, it's manageable for us. It's our distribution policy. And we also confirm this policy for 2026, in line with our market practice. It is too early to comment beyond 2026. First, we need to stabilize the long-term economic balance through our Economic Regulation Agreement with the signature of this multiyear agreement. But also we will provide more clarity on our overall strategy, aiming at creating value for all our stakeholders, including shareholders. That is a key element for the next year just to prepare this Economic Regulation Agreement, but also to prepare our strategic plan in line with strategic value creation. Thank you for your question.
Operator: Next question comes from Elodie Rall from JPMorgan.
Elodie Yvonne Daniele Rall: My first one is on Slide 13. If you could come back to the EUR 164 million swing element in the net income bridge, please. What exactly does that mean the change in D&A, JV, interest, tax, minorities, so that you could provide some breakdown of the different moving parts and how they're weighted for each of them? And what to expect for this in H2 and for the full year? In particular, in depreciation, it came at EUR 470 million, if I'm not mistaken, which is a lot higher than the EUR 414 million, ex the one-off last year. So what drove this? And what should we expect for the full year? And lastly, dividend for this year, given you've introduced the EUR 3 [ DPS ] floor, does that mean that this is where we should be landing this year?
Christelle de Robillard: Thank you, Elodie. So regarding your first question in terms of net results. So as announced at the early beginning of July, we have indeed a major impact regarding FX change, which is totally in line with the range we gave at the early July between EUR 19 million and EUR 110 million, and we estimate that it weighed for EUR 104 million in our performance at the end of June. So this is the first element explaining the performance of our net results. Regarding this specific item and what we could expect on that for the rest of the year, we have to say that FX rate is highly volatile since the beginning of the year. This volatility is mainly having noncash impact, as you see. We are still in an uncertain geopolitical context. So it's very hard to predict exchange rate movements. Maybe it's quite unlikely to have an appreciation of the Indian rupee and Turkish lira in the second half. So this is the first element. Then as you mentioned, the net result was affected by important D&A, both in TAV and Paris. So in TAV, D&A are up 23% due to the increased traffic, which, as you know, accelerate the amortization of some of their airport operating rights of element, but also because of investments that were made in the past and that expand asset base. Regarding Paris, D&A are also driven by increase in asset base, but also scope impact from P/S and PEG. So looking forward, this is a structural trend in our D&A because of the investment we made in the past. And maybe third item explaining the performance of net result when you compare also to H1 2024. There is a change in fair value of FCCB, and it's very late. So we had EUR 30 million loss in H1 2025 compared to EUR 10 million gain in HY 2024. Looking forward on this specific element, it is a fair value appreciated that is including. So it's hard to predict this item. So the first question on the dividend. So indeed, we have set a floor to try to ensure a stable dividend policy despite the noncash effect. This is once again what we announced at the beginning of July, volatility of the FX impact by the end of the year is still unknown as I just explained. So we have proposed to set this floor to secure shareholder by limiting the risk of downward volatility on dividends.
Operator: Next question comes from Dario Maglione from BNP Paribas Exane.
Dario Maglione: Three questions for me. One on spend per passenger in Paris retail. I think it was down around 1% year-on-year in Q2. This was slightly below consensus. But if you look at the big picture, we feel pretty good given the adverse FX movements and warning signs from the luxury companies. So I was just wondering here, what are you seeing in June and July? And also, can you provide us some detail of what percentage of the total spend is made by U.S. and Chinese passengers? Then second question, sorry to come back again to this bridge to net income. I'm just looking at the EBITDA, which came more or less in line consensus, but then net income was a big miss. Apart from the FX movements, is there anything else that we should highlight to explain this dismiss? Maybe D&A, as you mentioned or something else, interest expense, tax expense and so on? And the last question is around the allowed ROCE for the next regulatory agreement. I think the range that the ART has provided was between 4.1% and 5.6% back at the start of the year. What are the early discussions with the ART if you had any, like what is the ART thinking in regard to the allowed ROCE?
Philippe Pascal: So thank you for your questions. So to start by the third question about the level of WACC. So we have to discuss with the French regulator. So it's a little bit early. As you know, the French regulator have some guidance, guideline, and we try to implement this guideline in our methodology, but we have a few elements that is globally not in line with our own methodology. So we have to check this element. Remember that when we negotiate an Economic Regulation Agreement in the guideline, in the methodology of the French ART, we don't have the same element to calculate compared to the annual regulation, and it's more favorable to have an Economic Regulation Agreement in terms of level of WACC compared to annual regulation. So globally, at the end of the day, we -- it's a little bit early. In terms of spend per pax. As you know, we try to continue the success story. We have also, in fact, Q2, but it's not so bad, but not so good. But globally, we are in line with our guidance when you see and with a good and strong dynamic due to the implementation of Extime. As you know, we have to continue to optimize the layout and the mix of commercial space. As per Extime strategy with the free concept of Extime, lifestyle for the European terminal, premium for international terminal, but also exclusive for a specific client in our airport. So we have to continue with the work in Terminal 2E Hall K retail area. We have also to upgrade our Terminal 2E and 2C is also -- and this is also playing. But we have also room of maneuver with digitalization and data driven targeting and explorational concept. Globally, what we can see, and you see the figures in terms of destination, the strong destination is globally the North America destination, and it's still the case with Africa, but also South America. In fact, we don't have the full recovery in terms of Asia traffic. And we can see not an unfavorable impact, but we can see an upside for the next few years. So globally, in terms of performance, it's quite a good performance despite some floor -- some slight impact due to the [indiscernible] we can share of sales made in U.S., for example, we -- in terms of -- for U.S., we have globally in terms of market share, 13% and for China, around 10%. So we can -- for this element, confirm our guidance. Thank you for the question.
Christelle de Robillard: So regarding your question about the miss and net result, indeed, there was a gap between our net result and the consensus. So first, we saw that not all estimates fully incorporated the effects highlighted in our July 1 communication and the FX noncash charges and slightly front-loaded accounting of the surplus income tax in France. So this is 1 element. Excluding these elements, the gap between consensus and our below EBITDA figure, is not unusual for items that are often difficult for the sell side model. Having said that, as I explained earlier to an early question, we saw notably D&A was slightly underestimated despite the fact that we had flagged the base effect from last year's impairment reversal on AIG due to the extension of the concession. Second, the non- growth of the asset base, both in Paris and TAV. We commented on this in earlier earnings. And once again, this will be structural looking forward. And third element, the new but known public scope effect from the acquisition of P/S and PEG, which include both a PPA effect and the underlying D&A of these 2 entities. Thank you for all your questions.
Operator: Next question comes from Andrew Lobbenberg from Barclays.
Andrew Lobbenberg: Can you talk to us a little bit about the new acquisitions, P/S and PEG, are they doing what you hoped they would? And is the path forward to grow them? Are you optimistic for that relative to what you expected when you first bought them? And then can you just remind us of where you're going harvesting cash from your external assets because I know that's a priority. So are we still confident we can get some cash in this year? And a third question would take us, and it's top focused. I know to Antalya, with the deferred tax impact and stuff, are you or TAV are still confident that the Antalya new concession can end up being value creating?
Philippe Pascal: Thank you for your questions. So first question about our new acquisition with P/S and Paris Experience Group. So globally, remember that its acquisition to complete our Extime strategy with P/S, like a private suite, specific VIP lounge company, that is a leader in the U.S. and in line with our strategy in Paris. So we can -- we try to create a specific new business line about luxury lounge, but is in line with the exclusive strategy for Extime. And for that, we try to merge our strategy to merge our portfolio in terms of clients and also to create a unique product around the world. For that, we have also to work with our subsidiaries that is the subsidiaries of TAV Airport called TAV OS, operational services, that manage the [indiscernible] Of TAV. So all in all, it's not just to create value through these subsidiaries, but it's also to create value in the terminal with the retail performance and to leverage at the end of the day, the SPP. For Paris Experience Group, it's a key asset for us to know very well what is our high contributive passenger in the downturn of Paris. When we -- if we arrive at a huge work for us, but we are starting this job to identify in the downturn, the good client for our retail area in the airport, it's a key element to also leverage the SPP. So globally, it's a global strategy. It's not just to create value for these subsidiaries. In fact, we have to create value and to have a strong P&L for each of our subsidiaries, but it's also to improve and to increase strongly the SPP in our Parisian airport service. In terms of value creation also and the cash effect in -- of TAV, but also of GMR, that is clear for us. It's the fact that TAV is controlled by ADP and our ability to deploy this approach and influence dividend is full. At this stage, the Board of TAV intends to propose a dividend out of 2025. For GMR Airport, it's now a publicly listed company and this company listen to the market. So shareholders in ADP made it clear that they are now expecting GMR Airport to contribute to dividend. And GMR indicated, they will be able to do that in 2028. So that is for us a good things to, at the end of the day, create value and have cash in -- for the holding company. For the third question...
Christelle de Robillard: So regarding your question on Antalya. So yes, traffic performance at Antalya so far is not very high, even if we had good first quarter, but a difficult beginning of summer. But we must highlight that this is something that's structural. It is mainly linked with high inflation and still the effect of the FX variation, which makes the destination quite expensive. All Turkish stakeholder of tourism are working at it. Hotel prices are decreasing to try to address this issue. On top of that, the overall performance of Antalya has noticed and as explained was affected by all the FX changes, but these are noncash impacts. So that doesn't affect the capacity of this asset to distribute dividends. So all in all, fundamentals of Antalya remains excellent, diverse international traffic, huge room capacity and maybe also 1 argument showing that we are confident in the solidity of this asset is the excellent refinancing that was made at the level of the asset at the beginning of this year. So all in all, yes, we are still confident in the capacity of this asset to contribute to value creation.
Operator: [Operator Instructions] Next question comes from Marcin Wojtal from Bank of America.
Marcin Karol Wojtal: I have 2. The first 1 is on regulation. You have provided a very, very detailed time line for negotiations and all the various steps. How confident you are that this time line is realistic? Is it actually binding for the French regulator to issue the opinions throughout 2026? Does the regulator and the French state, do they share your view that the regulation should be delivered, let's say, over the next 12 months? I'm just trying to understand if this is essentially set in stone or there could be still substantial risk of delays? And my second question, just taking a step back, looking at your CapEx over the next 5, 6 years. I'm just wondering, is it going to -- based on your current expectations, is it going to deliver an increase in the capacity of your airports in Paris? What I'm really trying to understand, is there going to be a benefit for the unregulated retail business from this substantial CapEx? Because previously, you talked about hedge maintenance, you talked about people mover project which improves the quality of the service, but doesn't really changed very much for the retail. So is there really a benefit on the retail side, if you could give us some indication, please?
Philippe Pascal: Thank you for your question. About the first question, in terms of regulation, just remember the time line. So we will submit our proposal for the next Economic Regulation Agreement in December of this year. We wait a nonbinding decision for the French regulator in Q1. After that, we have to negotiate with the French state. So the comfort, the confidence that we have in terms of time line is linked by the fact that we find a good agreement with French state in a very short period of time. That is globally realistic because, for the moment, we are globally aligned with the French airlines, but also with the French state about our traffic figures forecast. We have also to negotiate. But globally, we are in line. Second point, we know exactly what is our industrial plan due to the fact that we have voluntary consultation discussion for early 2035 plan, but also for Paris-Charles de Gaulle our development plan for 2050. So globally, all the stakeholders know exactly what is our industrial plan. So we have just to manage the economic balance. That is a keeper in time to negotiate because at the end of the day, it's an Economic Relation Agreement. But it's -- for us, it's globally manageable with the French state. We have to wait. Finally, the binding decision of the regulators. That is a key element. And so we have to convince that our balance, it's a good balance for the airlines in line with the guideline of the regulator, but we are globally for the moment confident. In terms of CapEx for the moment, our CapEx plan. It's globally too early to comment our CapEx plan because it's not defined at this stage. We know, but we wait for these figures. But we have to manage our CapEx plan to try to have a good vision, modularity of object and small object. We have also to find a good way to optimize the operation of the airlines to improve the performance of the airlines through the security take points, the boarding gate, the smartization. All in all, globally, we have to -- not to build a new capacity if we don't need this capacity. So we try to have a very flexible plan for that to be able to speed up or slow down investment and as the business involved. So -- but at the end of the day, when you -- we know the fact that we have a traffic increase in our model, we have to build and to develop the capacity. And at the end of the day, through that, to develop our revenue and to have a good return. That is clear for us. It's the fact that the capacity in line with our strategy is first to optimize the current infrastructure. So it's not a huge CapEx, but just to optimize CapEx. It's a good thing because in the first step of the next Economic Regulation Agreement, we have to optimize our current infrastructure that is good to manage the new -- the construction of the new capacity at the end of the Economic Regulation Agreement. So we try to manage the CapEx planning in a way to create value step-by-step during this period. Thank you for your question.
Operator: Next question comes from Graham Hunt from Jefferies.
Graham Hunt: I've got 2, I believe. Just coming back to Elodie's question on the dividend floor. Maybe just to drill a bit more into this. In terms of the rationale for the EUR 3 level, is that where you see dividends today if we were to hold FX constant? And therefore, you're protecting against further volatility? Or are you adding back FX volatility that we've already seen and the protection for further? I'm just trying to get a sense of if we were to hold everything constant today, where do you see dividend landing, is that around that EUR 3 floor now? And then second question, I'll just ask on CapEx for 2025, particularly for Paris. Again, coming in below the upper limit of your guidance here, is that the kind of run rate we should expect for second half?
Christelle de Robillard: Thanks for your question. So regarding the first question, indeed, we have reintroduced a floor of EUR 3 per share. This floor has been set to try to ensure a stable dividend compared to last year despite the fact that, as you've seen in our results, we are going through noncash impact regarding FX variation. It's very hard, as I explained, to predict this FX variation evolution for H2. So that's why we have reintroduced distribution policy consistent with what we've done in the past to protect our shareholders on the risk of downward volatility and dividend should there be still depreciation -- important depreciation on the Turkish lira or Indian rupee in the second half of the year. It's hard to tell where we are in term of dividend per share level. Once again, we have set this policy, and this is a stable policy. Regarding your question on 2025 CapEx, maybe a few elements of answer. First of all, so as you know, in Paris, more than half of our CapEx came from maintenance, regulatory and safety investment. Indeed, at the end of first half of the year, it's a little bit below what was expected, but it's quite usual that H1 CapEx are below H2 CapEx. There is traditionally an acceleration and the increase in the pace of CapEx consumption in the second half of the year, first element. What we gained in terms of guidance is a cap. Indeed, there is a natural trend maybe sometimes to undershoot a little bit the level of CapEx compared to this guidance, but we have to highlight that we have improved significantly our ability to perform our Paris and CapEx plan, and it was the case, as you've seen in 2024, even if it was a particularly challenging context with the Olympic Games. And we are internally working on our managerial organization as well as our project design and management to adapt ourselves to this rising investment rate because, as you know, we will have ahead of us an important level of investment. So that's why we need to be organized to ensure to execute this CapEx program. Thank you.
Operator: Next question comes from Jose Manuel Arroyas from Santander.
José Manuel Arroyas: Just a clarification. I wanted to double check that the floor of EUR 3 is just an exception that you are looking or that you're seeking for 2025, but not beyond. Is that the current plan?
Christelle de Robillard: So we have reintroduced floor for 2025 results, which will be distributed in 2026. It needs to be approved by the general meeting for sure. It's clearly too early to comment our distribution policy beyond 2026. As Philippe mentioned, we need first to stabilize the long- term economic balance and then we will provide a clarity and come back to you with more color. Thank you.
Operator: Next question comes from Nicolas Mora from Morgan Stanley.
Nicolas J. Mora: One last question on the dividend. Can we come back a little bit on the cost outlook? Because I don't know, on my numbers, you did quite well in Aviation. Can you explain a little bit what you've done especially on the personnel side to contain it with the cost? And what you're seeing into the second half of the year because I suspect that 1 point, you're going to have to ramp up, again, hiring, especially on project management ahead of the CapEx. And question number two, when we look at the Retail and the Real Estate, revenues were okay, but the flow-through down to the EBITDA was quite poor. Is there anything you want to flag in terms of basically the profitability, the cost side on these 2 divisions, which hampered a little bit the progress in the first half? That would be it.
Christelle de Robillard: Thank you, Nicolas. So regarding your first question in terms of OpEx and the expectation for the rest of the year. So indeed, we have managed to quite well control our OpEx in H1 regarding H2, if we go line by line on our P&L. So for consumable, you know that it corresponds mostly -- it is driven mostly by the cost of goods sold evolving with the retail sales. Regarding energy, there is a mix of various sources, of which only a small portion is in the market in a short-term scheme rather than a multiyear fixed price contract. So we expect continuity in the trend observed in H1. Regarding external services, including subcontracting, as you know, there will be an expected increase, both with traffic growth and our effort towards quality of service. Maybe just one element to remind you that when you look at the year-on-year variation between 2025 and 2024, those increase effects were partially offset by the absence in 2025 of Olympics-related OpEx recorded in 2024. Regarding also staff cost, nothing very new from what we've been able to say previously, it's the most dynamic item in Paris reflecting the structural salary increase baseline of 2.5% on average per annum and also the recruitment that we made over the past 12 months and that will also remain looking forward. So all in all, on those specifical line, maybe 1 last element regarding OpEx and taxes. It's -- and it also answer to your second question. The performance was affected by increasing of property tax items. There was a favorable base effect in 2024 of EUR 10 million. So this explains partially the performance you looked at the end of 2025. So all in all, we will work on efficiency measure to enter the Economic Regulation Agreement. As you know, it's a key parameter in the global economic balance to try to make sure that the tariff increase will finance CapEx and not OpEx. Thank you.
Operator: Thank you, ladies and gentlemen. That's all the time we have for today's call. So I hand the conference back to the speakers for any closing remarks.
Cecile Combeau: Well, thank you, everyone, for having looked to our conference. Our next communication will be on the 23rd of October with the 9 months revenue. And of course, as usual, if you have any questions, you can contact us at the Investor Relations team, Elliott or myself for any follow-up questions. And with that, enjoy the rest of the day and good luck with all the publications. Thank you. Bye-bye.
Operator: Thank you for your participation. The call is now over. You may now disconnect.